Operator: Good afternoon ladies and gentlemen and welcome to the Q4 and Fiscal Year 2017 Interface Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Ms. Christine Needles, Global Corporate and Communications. Please go ahead.
Christine Needles: Thank you, Denise. Good morning, and welcome to Interface's conference call regarding fourth quarter and fiscal year 2017 results, hosted by Jay Gould, President and CEO; and Bruce Hausmann, Vice President and CFO. During today’s conference call, management's comments regarding Interface's business, which are not historical information, are forward-looking statements. Forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially from any such statements, including risks and uncertainties associated with the economic conditions and the commercial interiors industry as well as the risks and uncertainties discussed under the heading “Risk Factors” in Item 1A of the Company's Annual Report on Form 10-K for the fiscal year ended January 1, 2017, which has been filed with the Securities and Exchange Commission. We direct all listeners to that document. The Company assumes no responsibility to update or revise forward-looking statements made during the call and cautions listeners not to place undue reliance on any such forward-looking statements. Management's remarks during this call refer to certain non-GAAP measures. A reconciliation of these non-GAAP measures to the most comparable GAAP measures is contained in the Company's earnings release and Form 8-K filed with the SEC yesterday. Lastly, this call is being recorded and broadcasted for Interface. It contains copyrighted material and may not be rerecorded or rebroadcasted without Interface's expressed permission. Your participation on the call confirms your consent to the Company's taping and broadcasting of it. Now, I'd like to turn the call over to Jay Gould, CEO.
Jay Gould: Good morning. Once again, I’d like to begin by thanking the Interface associates around the world for delivering a strong fourth quarter consistent with our expectations and in line with our full-year commitments. Our value creation strategy is working in the marketplace. We delivered strong results in the fourth quarter and closed out the year on very solid footing. I’m proud of the team’s efforts to meet our commitments for our full year 2017, that we’ve discussed on each one of our quarterly calls. We delivered 3.9% net sales growth which was at the top end of our 3% to 4% range. We exceeded our gross margin target of 38% to 38.5% delivering full year gross margins of 38.7%. That was a 20 basis point improvement year-over-year, but I would say that we delivered roughly a 90 basis point improvement on the core offset by 70 basis points of decline following a FLOR store exit. Driven by some currency inflation, higher short-term incentive payments and increased performance stock-based compensation expense, our SG&A for the year finished at $269 million, slightly greater than our $260 to $265 million target. For the year, SG&A was 27% of sales a 50 basis point improvement over 2016. I believe that we are effectively managing the balance of delivering today and investing for tomorrow. Our full-year EPS was a $1.18 up 14% from last year. We also returned $91 million back to our shareowners via stock repurchase and the stock grew 36% during the year. Turning to the fourth quarter, we delivered solid performance down the P&L, with net sales growth of 11% year-over-year with contribution across the carpet tile and LVT businesses. Organic order growth in the fourth quarter was 8%, our fourth quarter gross margin up 38.2% was up 60 basis points over the prior year as we continue to see the benefits of our productivity initiatives. We also held fourth quarter SG&A expenses at $71.2 million or 26.8% of sales which was only a slight increase year-over-year due to higher incentive based compensation on stronger performance this year versus last, as well as some foreign currency inflation. Excluding the charge related to the tax act, which Bruce will talk through in much more detail in a few minutes, we delivered an adjusted EPS of $0.32 which is up 14% versus the adjusted EPS in the fourth quarter of last year, which excludes the restructuring that we did at that time. Including the tax act and restructuring charges fourth quarter GAAP EPS was flat year-over-year at $0.07. Our fourth quarter revenue and order trends are consistent with our commentary during the course of the year. We saw our momentum build sequentially with a larger release of customer spending at year end. Regarding our capital allocation, we continue to execute against our previously announced $100 million share repurchase program and in the fourth quarter, we completed an additional $10.5 million of share repurchases. Overall in 2017, we returned $91.6 million to investors through the stock repurchase program and this is as you know an important aspect of our capital allocation strategy as we focus on delivering value for our shareowners. Now I’d like to turn the call over to Bruce for a review of the financial details for the fourth quarter and the full year, so Bruce, please go ahead.
Bruce Hausmann: Thanks, Jay. Good morning, everyone. Before I walk through the results, the U.S. Tax Cuts and Jobs Act also referred to as the Tax Act, which was enacted on December 22, 2017 resulted in a Q4 charge of $15.2 million or $0.25 per share in provisional tax expenses. These expenses are principally from one time transition toll tax on accumulated foreign earnings and require changes to our deferred tax assets and liabilities. The net cash impact of the transition toll tax which is roughly $10 million will be paid out over eight years. Also, as a reminder, organic sales, organic sales growth and organic order growth adjusted to exclude the impact of foreign currency fluctuations and exiting the FLOR specialty retail stores. Now let’s talk through our fourth quarter 2017 results. As Jay mentioned, Q4, GAAP EPS was flat year-over-year at $0.07, our adjusted EPS of $0.32 was up 14% to adjusted EPS of $0.28 in Q4 of last year. Net sales grew 11% year-over-year, organic sales also grew 11% year-over-year. Taking a closer look at our regional net sales in Q4, net sales in America’s grew 12% in the fourth quarter compared to Q4 of last year with core carpet tile and LVT contributing to the solid performance. Growth in the U.S. business was boosted by continued momentum in Canada and our Interface services business. In local currency, net sales in EMEA were up 2% year-over-year while in U.S. dollars, EMEAs net sales were up 11% year-over-year as we benefited from currency tailwinds. Asia-Pacific net sales were up 19% compared to Q4 last year with both Australia and Asian markets driving double-digit growth. In terms of our global market segmentation, core office was up over the same period last year and we continued to see increases in non-office segments particularly in retail and healthcare in Q4. Q4 organic orders grew 8% year-over-year, our gross margin of 38.2% was up 60 basis points year-over-year and this is a result of productivity initiatives partially offset by raw material cost inflation. Managing SG&A continues to be a key priority for us. In line with our expectations, SG&A expenses of $71.2 million or 26.8% of net sales is up 20 basis points year-over-year on higher incentive-based compensation versus the fourth quarter of last year due to our performance goal achievement that outpaced prior year. Operating income of margin of 11.5% was up 60 basis points compared to adjusted operating income margin of 10.9% in Q4 of last year. On a GAAP basis, operating income margin was 2.7% in Q4 of 2016, which included previously, announced $19.8 million of restructuring net and asset impairment charges. Net income during the fourth quarter of 2017 was $4.3 million or $0.07 per share compared to the prior year, net income of $4.7 million or 7% -- $0.07 per share. Fourth quarter 2017 adjusted net income which excludes the previously mentioned $15.2 million tax act expense was $19.5 million or $0.32 per share. This compares to fourth quarter of 2016 adjusted net income of $17.8 million or $0.28 per share which of course excludes the previously announced restructuring and asset impairment charges. Turning to full year 2017 highlights. Full year GAAP EPS of $0.86 was up 4% compared to $0.83 in 2016, however, our full-year adjusted EPS of the $1.18 was up 15% versus 2016 adjusted EPS of $1.03. Net sales were $996.4 million up 4% compared with $958.6 million in 2016. Organic sales grew 5% in the same period. Carpet tile and LVT sales contributed relatively equally to both net sales and organic sales growth in 2017. Organic orders grew 6% in 2017 versus 2016, and gross margin of 38.7% was up 20 basis points compared to 2016. SG&A expenses were $268.9 million or 27% of sales which was a 50 basis point improvement versus 2016. Full year GAAP operating income margin was 11% in 2017 versus 8.9% in 2016 and when you exclude the previously announced restructuring and asset impairment charges in both 2016 and 2017 our adjusted operating income margin of 11.8% was up 90 basis points versus 10.9% last year. Reported net income of $53.2 million or $0.86 per share in 2017 compared with $54 million or $0.83 per share in 2016. As adjusted to exclude the Tax Act impact as well as the previously announced restructuring and asset impairment charges net income was $73.1 million or $1.18 per share in 2017 compared with $67.3 million or $1.03 per share in 2016. Moving to the balance sheet, we ended the period with total cash on hand of $87 million, debt of $230 million and strong liquidity as we had $184 million available under our revolving credit facility. Interest expense was $2 million in the fourth quarter, compared with $1.4 million in Q4 of last year and full year interest expense was $7.1 million versus $6.1 million in 2016. Depreciation and amortization was $37.5 million for the full-year of 2017 compared with $36.5 million in 2016 and capital expenditures for the full year of 2017 were $30.5 million compared with $28.1 million in 2016. And now I’d like to turn the call back to Jay to discuss our fiscal year 2018 Outlook.
Jay Gould: Thank you, Bruce. Well as you can see by our 2017 results, we are continuing to focus on execution of our strategic agenda to become the world’s most valuable interior products and services company. Our outlook for 2018 builds on our strategic agenda; we are targeting to achieve 3% to 5% organic sales growth. Gross profit margin of 39% to 39.5%, SG&A expenses that will be flat as a percent of sales to 2017 and effective tax rate of 26% to 27%. Interest and other expenses that are projected to be $2 million $3 million higher than 2017 and capital expenditures of $50 million to $60 million. Based on historic seasonality, current forecast and prior year comparables, we expect our strongest operating income growth to be in the second and third quarters with softer operating income growth in the first and fourth quarters. And with that, I will open the call for questions. Denise, could you turn to the questions please.
Operator: [Operator Instructions] Your first question comes from Kathy Thompson from Thompson Research. Your line is open
Kathryn Thompson: Hi, thank you for taking my questions today. I wanted to first focus, circle back up on your commentary on end marketing and geographic color, I know you talked Americas and EMEA, that in the past you’ve been able to talk about breaking out, looking at European sales and APAC sales, just to be able to distinguish between the two, could you give a little bit more color on those, and also what percentage of total revenues hit those three end markets, America’s APAC and Europe? Thank you.
Jay Gould: Yes, so the Americas is -- was up 5% in net sales for the year. Europe was flat, and Asia-Pacific was up about 9% for the year, so that totals up to 3.9% revenue growth.
Kathryn Thompson: And roughly what percentage knowing that this number can move around a little bit, roughly what percentage were hitting a total sales of those three geographic markets?
Jay Gould: So the Americas is about 55% of sales. And Europe is about 22% of sales.
Kathryn Thompson: Okay, and then the balance is up APAC.
Jay Gould: Yes.
Kathryn Thompson: Turning to your guidance, I guess two different things to focus on, first, you are seeing an increasing CapEx into 2018, if you could dig a little bit more and get more clarity of what are the drivers for the increase? And when would – what type of initiatives are you going to be focusing on and the return metrics for those? And then also if you could give just a little bit more color on what you are seeing in terms of current orders, how weather may have impacted orders, and how that if you that impacts the overall flow through of earnings for the year? Thank you.
Jay Gould: Yes, thank you Kathryn. First of all we typically spend in capital $30 million to $35 million. In 2017, we are actually on the low end of that which was disappointing quite frankly, because we had expected to break ground on our new manufacturing facility down in Lagrange, Georgia by the summertime and we didn’t break ground until late November. So you’ll see acceleration again the $50 million to $60 million of capital spending in 2018, directly that increase is really directly related to that investment. As you probably recall, we’re in the midst of a $50 million to $55 million investment in those facilities which will generate a $30 million annualized return. In 2017, we captured $10 million of that, 2018 will capture an additional $10 million and then in 2019 we’ll get the last $10 million. So we feel great about the returns, we’re actually running slightly ahead of schedule from capturing the productivity savings and really optimistic about the cost structures that we’re putting in place for that facility?
Kathryn Thompson: Yes, orders as you -- as we've entered into the new year we're, kind of a month and half into it, and then how that impacts your view on Q1 being not quite as soft as Q2 and Q3 and just how we should frame that, how much is kind of onetime versus something that maybe more fundamental?
Jay Gould: Yes, so orders and as we reported were organic orders up 8% in the fourth quarter, we’re seeing that trend continue during the first six or seven weeks of the New Year. I will say that was choppy, and we were soft in the beginning I think primarily related to weather in the United States and some of the timing around the holidays. But if you -- again, if you come it up through the 7 weeks, we're at that 8% to 8.5% of growth rate on orders. So we feel pretty solid about that. So the top line in the first quarter will be relatively consistent with that. However, I want to forewarn everyone that our gross margins in the first quarter are likely to be down 100 to 150 basis points versus the first quarter of last year driven by a few things; one, we’ve actually had almost 10% less production volume in the first quarter this year versus last year and we won’t make up for that until the second quarter. That was driven off of losing almost three days of production in the United States, because of snow in Georgia. And we also planned less production in Europe because last year we ran the plants harder preparing for a second quarter ERP implementation in Europe. We’re also seeing some of the inflation that we felt in the fourth quarter of last year flowing through to the P&L here in the first quarter as it got hung up on the balance sheets through inventory. So and also the exit of the FLOR store business will hurt us in the in the first quarter. So net, net we’re going to see a likely decline of gross margins in the first quarter of 100 basis points to 150 basis point however, we still feel confident in our range of 39% to 39.5% for the full year.
Kathryn Thompson: Great. Thank you so much.
Jay Gould: Thanks, Kathryn.
Operator: Your next question comes from Keith Hughes from SunTrust. Your line is open.
Keith Hughes: Thank you, a little bigger picture question. With the tax reform you know companies nowadays have a lot more discretionary income coming up here in 2018, maybe not on the orders, but have you seen in quotation or just your salespeople discussed it in the channel, are you seeing any kind of pickup and overall business as companies look to expand, renovate whatever with this extra cash and service placements?
Jay Gould: Yes, I mean it’s a very active market right now. So we saw an increase in fourth quarter activity which translated in the waters and we’re seeing that here early in the year. So we have a lot of planned delivery for the second quarter. So we are seeing people releasing their capital budgets earlier in the year than we saw last year.
Keith Hughes: Okay, thank you.
Jay Gould: Thanks, Keith.
Operator: Your next question comes from Michael Wood with Nomura Instinet. Your line is open.
Mason Marion: Hi, this is Mason on for Mike. Can you talk about where LVT gross margins are currently versus your expectations? And also are you seeing an uptick in LVT orders and when it’s following your new design launches?
Jay Gould: Well LVT continues to build momentum on the order books, so when we launched last year, we really didn’t get out until March in the United States and we had a staged rollout. So we continue to see momentum built of our 6% order growth in 2017, half of that came from LVT. So we committed to deliver about $25 million which is in fact what we delivered. And the current order pattern would suggest we will double that in 2018, which is on track with what our original targets were. Gross margins still are running accretive to the overall portfolio. I think I’ve talked previously; we’ve modeled that a little more conservatively for 2018 as we continue our global expansion. We’re just being conservative, but right now if you look at the P&L, the gross margins on LVT are accretive.
Mason Marion: Okay, great. And then we know that Europe has historically been a high gross margin business for you. Can you update us on the gross margins there and the SG&A as a percent of sales in that region?
Jay Gould: Well we are running about the company average in Europe. So you’re right, it used to run higher than the company average, but we are right at the company average on gross margin. SG&A is slightly higher than the company average, but modestly so. I mean less than a 100 basis points.
Mason Marion: Okay, great. Thank you.
Jay Gould: So the profitability of our European business is still strong.
Operator: Your next question comes from Matt McCall with Seaport Global. Your line is open.
Matt McCall: Thanks, good morning guys.
Jay Gould: Morning Matt.
Matt McCall: Jay, maybe put it all together for me, but the gross margin outlook you talked about the 39 and 39.5. Will that last quarter I think what we heard was you’re going to get some gross, some productivity savings, but you are going to see some raw material inflation, we’re not expecting a lot of net volume growth this year as you work down some inventory and obviously work through the issues in Q1. Can you just break out the parts of what you assumed in your gross margin outlook?
Jay Gould: Well yes, we’ve got 50 to 100 basis points improvement in the core carpet tile business, offset by about 25 basis point impact from the FLOR business. What’s driving the core 50 to 100 basis points is a combination of pricing and productivity which generates about $20 million of incremental gross margin which will be offset by about $10 million to $12 million of anticipated inflation. So that’s how we get to our overall forecast, Matt.
Matt McCall: Okay, so you referenced the buyback that’s going to remain a part of your capital allocation plans is the 2017 spend going to be a good guide for your 2018 plans?
Jay Gould: We returned $92 million, $91.6 million last year. We have $39 million left on our current authorized a $100 million plan. So far in the first quarter we’ve purchased about $14 million, so we got $25 million left on that authorization to spend. And the board will determine whether we go beyond that or not.
Matt McCall: Okay, got it. And then I apologize if I missed this, the SG&A you talked about came in a little above what you had targeted, can you talk about what drove that higher spend and what’s going to limit your leverage next year, and maybe you know anything that’s temporary that may go away or how we should look at it longer term and refresh us on your longer term plans there?
Jay Gould: Well our financial algorithm to run the company is to capture 25 basis points to 50 basis points of SG&A as a percent of sales improvement every year. Now we did that last year. We got 50 basis points of margin improvement out of that. And so the target going into 2018 was to get it down to 26.5%. We made the decision; I made the decision to invest an incremental $5 million in our sales force transformation project, which has two main components to it. A change in the frontline selling structure in our North American operations were basically doubling the number of front-line sales managers and going from a span of control of 15:1 to a span of control of 8:1. And secondly, one of the process of implementing a new CRM system which will provide much more visibility and discipline into our order pipeline. That system won’t go live until May of 2019 but we are putting the building blocks in place to be able to accomplish that. So that’s what influencing the number in 2018. If you go back to 2017, there’s three things that influenced our SG&A spending in the fourth quarter and one thing in the third quarter which led to this $4 million higher than the high end of my range of $260 to $265. One was we had a $1 million in the fourth quarter just related to foreign currency translations, so the increase in the euro caused our SG&A expenses to go up when translated back to U.S. dollars. Secondly we had short term incentives which were higher than what we expected because the business performed so well, and we had to catch up on some of our long-term incentive plans for exactly that same reason for the performance of the business. In the third quarter, you may recall we did make an investment into our sound system as well. I talked about creating the Interface way and we brought in a consulting company to help us do this called Miller Heiman, and so it’s about creating a more disciplined selling process in our global organization. So those are the things that led up to the 269 versus 265.
Matt McCall: Okay and just two quick follow ups to that. The $5 million and you broke that to 2 components. Is it split pretty evenly, is $2.5 million more permanent with the new management folks and does the $2.5 million CRM or how do we think about the – how consistent that spend is going to be all beyond 2018?
Jay Gould: Well, I mean here is my commitment to you Matt is when we get out of 2018 is to get back to reducing SG&A as a percent of sales by 25 to 50 basis points. We got to stick to that algorithm because we know we want to get to this 14% operating margin.
Matt McCall: Got it. Okay, thank you guys.
Jay Gould: Yes, thanks.
Operator: Your next question comes from Robert Aurand from Longbow Research. Your line is open.
Robert Aurand: Hi, good morning. Rob Aurand for Dave McGregor this morning. I guess, looking at your full year guidance, this year you had organic growth of 5%, you're guiding to 3% to 5%. Can you kind of just talk about the puts and takes? What's going to drop it to the 3% versus what's going to get it to the 5%? And if I guess, it does drop to 3%, kind of what would be causing that slowing?
Jay Gould: If my memory serves me correctly, I think that last year was 3.9% organic growth. No, you’re right…
Bruce Hausmann: Net sales, 5% organic and 3.9% net sales, yes. Yes, after foreign exchange and exiting the FLOR retail business.
Jay Gould: Yes, so you know honestly we took good market share in 2017 and the question is will we do the same? If you decompose our growth, so we are talking about carpet tile growth of 1% to 3%. The carpet tile business in 2017 grew between 1% and 2%. We did take some market share there particularly in the United States. We built a plan around assuming we are going to build grow, at about the rate of the category. And then on top of that we added 2% to 3% on LVT. We think we’ll double that business. So I think the forecast range of 3% to 5% which was an increase from our forecast range of 2017 which is 3% to 4%. And again depending on what happens with the carpet tile category, we’ll finish it either at the higher or lower end of that range.
Robert Aurand: Okay. Thank you. And I guess looking at Europe, I mean there's been some industry consolidation there and your competitors bringing on new capacity. Can you just, kind of, talk about how the competitive environment has changed there, and if and how it -- the increased competition is impacting your business?
Jay Gould: Well you know to make the common quote. Europe is not Europe, it’s very different in different parts of the Continent. The U.K. and the Benelux region are very highly competitive. We are seeing a lot of pressure on price points in those two markets in particular. Central Europe is actually growing very nicely. Southern Europe we are seeing some good growth. So it's spotty, we're making the appropriate reinvestments in the growing pieces of the business, so we're redirecting some of our resources from markets like the U.K. into markets like Germany.
Robert Aurand: Okay, thank you very much.
Jay Gould: Thanks, Rob.
Operator: Your next question comes from John Baugh from Stifel. Your line is open.
John Baugh: Thank you, good morning Jay, good morning Bruce. A nice quarter. I just wanted a point of clarification first, when you talk about organic order growth rates. are those FX-adjusted numbers?
Bruce Hausmann: Yes, they are John. So when we talk about organic, we make two adjustments. We adjust for currency, so it’s currency-neutral. And we also adjust for the FLOR specialty retail stores that we exited out of. So those are the two differences between organic growth and the net sales growth that you see on the P&L.
John Baugh: Great. Thank you for that point of clarity. And could you talk about mix and if you wanted to do it by average selling price point, I’m just curious with the mixed trends are in North America and kind of where you you’re seeing strength in the order book and whether the ASP if you will is moving up or down, or neutral?
Jay Gould: Well in the United States, ASPs are moving down slightly. And again, John I talked about this balance of getting our price and volume exactly right to maximize our gross margin dollars, which is really where we focus. And so I think that the team in North America has got that balance really well figured out, which they did last year as we gained market share and drove pretty good volume to the clients. Globally I would say that we’re still seeing more of our growth in the mid-to-higher price point areas. So what we call category three which will be price points at around $20 to $22 that was our fastest-growing segment globally.
John Baugh: Okay, and I think you talked about your inflation of being 10 million to 12 million in 2018, is that, is that that’s the global number that includes the transportation as well as raw materials, I’m just trying to get a sense for labor, I don’t know all the things that seem to be inflating a little bit in the world right now.
Jay Gould: That’s a global full-in number. And we take input cost and dissect them and really try to figure out okay every component of that. I think the good news, John, is we are expecting inflation. I mean, we've built it into our models. We built it into what pricing we need to take for the year and you hopefully we’ve been overly conservative. We’ll see as the year plays out.
John Baugh: Okay. And it seems like the LVT venture is going well and I’m just -- I know in the past you’ve given some anecdotal commentary around what some of your customers are telling you and this is all getting out incremental versus cannibalization question. Is there anything as you get further into this that gives you more clarity and comfort with what you’re seeing?
Jay Gould: Well I have to give our development team a lot of credit. We hit the product exactly right. I mean I think we hit the sweet spot of the market both in product design and price point. And we continue to be blessed with you really good growth out of that. I know if you listened to all the industry figures, the fastest growing part of the LVT business is actually rigid core which were not in today. We are looking to get into a product similar to that. I’ve commented that in the second half the year, we will introduce another resilient flooring product line into a lead market which will expand in 2019 still in development. I think by think by NeoCon, we'll be ready to show those products to you. But we believe that LVT continues to drive incremental opportunities in the market for us, as we’re invited into jobs that we weren’t previously invited into. So it feels pretty good John.
John Baugh: Great. Thank you and good luck.
Jay Gould: Thanks, John.
Operator: [Operator Instructions] You next question comes from Sam Darkatsh with Raymond James. Your line is open.
Joshua Wilson: Good morning, this is Josh Wilson filling in for Sam. Thanks for taking my questions.
Jay Gould: Good morning, Josh.
Joshua Wilson: A little point of clarification. So you said that input cost inflation guidance assumes some inflation from current spot rates.
Bruce Hausmann: No. He's asking if it assumes foreign currency inflation I think.
Joshua Wilson: Yes.
Jay Gould: Yes, the answer is no.
Joshua Wilson: Sorry to clarify, not foreign currency, but like further inflation in commodities or labor.
Jay Gould: Oh yes, of course. Yes, input cost inflation is the cost of our raw materials and labor.
Joshua Wilson: How much of the 10 to 12 is based on where things stand today versus the average of 2017, how much is yet to be realized in 2018?
Jay Gould: Most of that will be realized in 2018. We didn’t have as much input cost inflation in 2017 as we expected. And so one of the reasons why our gross margins exceeded the range, the forecast range that we provided. Once again, we put our estimates together about where we think the commodity markets are going. We know where the labor markets are going already, because we’ve got those budgets already established. So it’s really what happens to the commodity markets. Hopefully there is upside in that Josh, but you know we’ll see as the year unfolds. I think at this stage it’s a little better to be conservative.
Joshua Wilson: Got it. And specifically on transportation costs, could you talk about what ways you might be if you exposed to insulated from shortages and truckers or wage inflation with truckers?
Jay Gould: Well it’s different around the world on how we deliver product. In North America, most of our freight is assumed by the customer, so we’re insulated from freight inflation in the United States.
Joshua Wilson: Got it. Good luck with the next quarter.
Jay Gould: Thanks, Josh. Appreciate it.
Operator: I am showing no further questions at this time. I’ll turn the call back over to Jay Gould.
Jay Gould: Thanks, Denise. Thanks everyone for participating in this call. We’re excited that our strategy is working in the market place and we look forward to another very strong year. We appreciate your participating, talk to you next quarter.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for your participation and have a wonderful day. You may all disconnect.